Operator: Thank you very much for waiting. We will now begin SoftBank Corporation earnings results presentation for the 3 months ended June 30, 2023. We would like to introduce today's attendees. SoftBank Corporation, President and CEO Miyakawa Board Director, Executive Vice President and CFO, Fujihara. Today's presentation will be broadcast via the Internet. President and CEO, Miyakawa, will give an overview of SoftBank's consolidated financial results and business overview. 
Junichi Miyakawa: Hello. This is Miyakawa. Thank you for your participation. I would like to explain our business results for the first quarter. I would like to explain our business results. But before that, as part of the midterm management plan announced recently, we've decided to change the name of our business segments. The new segment names are as shown here. As you can see, there is no change in the content of the segments Revenue was JPY 149.7 billion, an increase of 5%. 
 Looking at revenue by segment. All segments enjoyed an increase in revenue. Operating income was JPY 246.3 billion, an increase of 2% on operating income by segment. As for consumer business, operating income decreased by 4%. However, we expect an increase in operating income for the full year. Enterprise media and EC and distribution to 3 businesses reported higher revenues. These businesses made a good start towards the target of double-digit profit growth for the full year. financial business. In terms of performance, the business has seen a significant improvement in operating income. If we were to consolidate PayPay from the beginning of the last fiscal year, it has improved by JPY 3.4 billion. 
 As a result, the performance in Q1 is progressing smoothly according to the plan towards the annual target. Next, net income was up 15%.  Here is the consolidated results, both revenue and income increased. As for the progress rate, operating income was 32% and net income was 35%. This is a good progress toward achieving the plan set out at the beginning of the fiscal year. The progress rate of operating income by segment is as shown here. The progress of the consumer business is 31%, which is better than we expected at the beginning of the fiscal year. In summary, we believe that we are making positive progress towards achieving the 3 goals outlined in our medium-term management plan. 
 As for business results by segment, I will start with Consumer business Revenue was up 0.2%. The mobile sales turnaround is one of the goals of our medium-term management plan. But as you can see from the amount of decrease from the previous year, it has narrowed significantly. Since the introduction of the new pricing, which began in the spring of 2021, every quarter, I've had to report on the impact of the mobile service price reductions, and I have been standing on this stage with the sense of shame. We have been very concerned about our shareholders and investors. But at least, we can clearly see the exits from this long channel. Operating income was down 4%. However, consumer business operating income progress rate was already 31%. So this is also on track toward our full-year profit increase forecast. 
 The net additions of smartphones and main subscribers were both strong, continuing on from last year. In the last fiscal year, the net increase in smartphone subscribers was $1.68 million, and we expect the net increase to be close to this level this fiscal year as well -- so this Q1 was also favorable for a number of portability. So this number of portability was strong, and we were all positive against other carriers. As a result, the cumulative number of smartphone contracts increased by 6%. Towards our goal of 3 million subscribers, we are steadily progressing. 
 Next, I will explain about enterprise business. Revenue totaled JPY 184.1 billion, up 4% year-on-year. Solutions continued to drive the growth with a 17% increase. This is a growth driver for enterprise business. Operating income was JPY 39.4 billion, up 8% year-on-year. Solutions are performing well with 18% growth in recurring revenue. We expect the solution for generative AI to contribute in the future. So this is an area where we are looking forward to further growth. 
 Next is media and EC business. Yesterday and Z Holdings made a presentation, I would like to brief on it. Revenue was JPY 325.2 billion, 2% up year-on-year. Operating income was partly due to a onetime gain on the transfer of business, it was up 31%. 
 Next, I will explain about financial business. Revenue due to the consolidation of PayPay increased by 28x. Operating income due to the impact of making PayPay subsidiary from the third quarter of the last fiscal year decreased income, but if we assume that PayPay has been a subsidiary since the beginning of the last fiscal year, the actual performance has improved significantly. PayPay revenue was JPY 48.0 billion, up 41% year-on-year. The previous year's revenue growth was JPY 11.9 billion, but this year was JPY 13.9 billion when compared the increase is even more remarkable. Consolidated EBITDA was JPY 1.7 billion, achieving the first profitable quarter. 
 GMV of SB Payment Services, which provides payment processing services reached JPY 1.9 trillion, a 21% increase year-on-year. In particular, the nontelecommunication domain grew by 29% year-on-year and is growing in a matter exemplary of Beyond Carrier Operating income was JPY 2.8 billion, an increase of 15%. The company is steadily growing year by year. As for PayPay securities, the number of point investment users has exceeded 11 million. This is the largest number in the industry of point operations. So in about 3 years, the pace of reaching this number is the fastest in the industry. 
 Next, I'd like to talk about ESG. The DJSI as an ESG rating. We have been focusing on acquiring this rating because we believe it is an important rating from the perspective of long-term business operations. What is DGSI, the DJSI analysis companies from the 3 prospectus, economical, environmental, and social performances, and only those companies in which in the same industry that Excel and sustainability are selected for inclusion in this index. There are regional ratings such as DJSI Asia Pacific and global ratings such as DJSI World, which is one of the most important ESG ratings for investors. SoftBank has been selected for the first time for inclusion in DSI's highest rating DJSI World. 
 I'd like to explain in detail how we are positioned in this selection process. There are approximately 60,000 listed companies in the world. The DJSI World list is made up of 333 companies from all over the world. Of these 333 companies, Japanese companies were 37. Among them, we received the #1 score. We are honored to be the only Japanese telecom company selected for this award. We will continue to focus on ESG when running the business. 
 Now I'd like to talk about the status of corporate financing. In July, we issued JPY 120 billion in straight bonds. In addition, we plan to issue  JPY 120 billion of bond type class shares during this fiscal year. The purpose of straight bond is to lower financing costs, lengthening debt maturities and fixed interest rates. The purpose of bond-type shares is to strengthen the company's financial base and invest in growth areas. As part of our financial strategy, we have been working hard to secure long-term debt and fixed rate as much as possible, including the JPY 120 billion in straight bond insurance, the fixed ratio is 85%. We have been strategically preparing for the risk of rising interest rates as has been happening overseas. 
 The next section describes the bond-type class shares that we are planning to issue. This bond-type class year is scheduled to be listed on the Tokyo Stock Exchange's prime stock market and is the first attempt of its kind in Japan. We submitted a proposal to change the articles of incorporation for this issuance to the General Shareholders' Meeting in June, which was approved by 98% of the shareholders. The purpose of this issuance is to enhance the company's capital and strengthen its financial base. We plan to issue JPY 120 billion, which we expect to issue in Japan during the current fiscal year. The good thing about this type of instrument is that it will increase equity capital without diluting the value per share. 
 The main use of this fund will be to invest in growth areas that will enhance corporate value over the medium to long term. The main areas of investment will be in generative AI, next-generation social infrastructure, and renewable energy. Talking about generative AI, I'd like to talk about what we are working on. If you look back the history, there are technologies that have become an integral part of our lives such as search engines, operating systems, and the cloud. But we believe that generative AI will be a technology in comparable importance. However, if you look at the current situation, the only major players developing large language models are foreign companies. These generative AIs are being developed based on English and Chinese data set and the information and thought patterns based on these languages have been built up. 
 The significance of doping domestically produced generative AI is that it will be developed on a Japanese language data set, making it more suited to Japanese business practice and culture. In particular, we believe that it will be able to handle unique expressions in Japanese, such as those used in public and medical services. As you can see, we have those 3 advantages. We have in a firm position to develop made in Japan generative AI. First, let's talk about computing. As announced recently, we have proceed Super PLD or super part, which is most suitable for building large language model at approximately JPY 20 billion for the in-house development of Japanese generative AI. 
 The computing platform we are building will have the largest computing power in Japan. This computing platform has been qualified by the Ministry of Economy, Trade and Industry and expected to receive a grant of JPY 5.3 billion. The products have been delivered to us as we speak, and we are now beginning to assembly. Setup will take about 3 months, so we are planning to complete it by the end of next month. Next, let's talk about engineering resources. To build a generative AI, you need to prepare this asset, develop an algorithm and train a model on it. We decided to bring together the experienced engineers in the SoftBank Group and create the product in a speedy and organized manner. We founded SBIntritions, a wholly-owned subsidiary and has been in full operation for development since August 1. 
 Finally, about overwhelming customer touch points. We have a large amount of teaching data, which allows us to create a highly accurate generative AI model. Furthermore, our group has varieties of products and services and can reach most of the Japanese public. So we can immediately deploy the developed AI to a large number of users, which we believe is a unique strength of our company. In addition to building generative AI model, we also provide B2B applications to utilize generative AI for business purposes. We recently announced a strategic alliance with Microsoft, a leading partner in the field of generative AI, and I'd like to touch upon that. 
 Microsoft, as you know, has invested more than JPY 1 trillion in open AI and is the leader in the commercialization of generative AI exclusively using GPT 4 in JUUL, 365, and other applications. Although there is a high demand from local governments and enterprises to utilize generative AI for businesses. They are extremely cautious about using their own internal data. So Microsoft and SoftBank discussed and agreed to strike this strategic alliance. So we can maximize strength of 5G network and cloud operators strength to deliver secure environment to use data for generative AI. We hope to help corporate clients to accelerate their digital transformation journey by leveraging respective strength to above 2 companies. 
 Microsoft and SoftBank has a strong customer base and will collaborate to provide secure AI-powered services to enterprise customers. We have decided to participate in the copilot early access program starting August 2023. We will be the first to thoroughly utilize core pilots in our company and will provide knowledge and expertise gained from this experience to Japanese customers. We are working on development of a platform for domestically produced generative AI while providing B2P application to utilize generative AI for business purposes. We will not only develop our own large language models but also establish a multi-generative AI system in which we select the most appropriate model for our clients' needs from among multiple models developed by Open AI, Microsoft, Google and other companies. With this policy in mind, SoftBank is committed to enhancing the productivity of Japanese companies through the use of generative AI. 
 Let me summarize what I discussed today. Both revenue and income increased and both operating income and net income exceeded 30% of the progress rate, which is a good start toward achieving the forecast. PayPay's consolidated EBITDA was positive for the first time in a single quarter. We were selected for the first time as a component of the DJSI World. And also, I talked about our initiatives in generative AI. We will continue to strive toward our philosophy of information revolution, happiness for everyone. Thank you very much for your kind attention. 
Operator: [Operator Instructions] First, in the middle, the very first now wearing a black polisher. Please wait for a microphone. 
Unknown Analyst: Regarding the StarLink service from proportion. And as far as I know that you have OneWeb and you invested in your earnings, but I think that StarLink just came out of the blue. So Mr. Miyakawa, you have been engaging and has, and why at this point, you engage in StartLink? So what is the factors for this? 
Junichi Miyakawa: As for StarLink, it's not that we really wanted to utilize, but we wanted to utilize if anything, is good. nonterrestrial network MTN. As for 6G, this will be a very important component. For that, we will be utilizing StarLink, OneWeb and HAPS. This is how we are looking at -- so if just like HAPS, if no makers being successful, then we would be doing by ourselves, but something like StarLink, which is already providing such, then we would like to utilize it. So right I would like to -- we are considering the differences between OneWeb and StarLink. As for StarLink, low-cost and best-effort service style, which we assume that we can provide a service for many different customers. While OneWeb, this is a bandwidth-guaranteed service which is probably used for enterprise customers. 
 And the consumer segments, good business performance, you asked the reason for that. To answer this question, regarding ARPU, it will go down gradually. And next year will be at a stable level, I think. We need to expand the area to cover first. And the total coverage in the area, if we could make it positive, then I think it's the right way. So we have been working on that strategy around that. And when you also visit a shopping center, you may think that it's too much noise, and we are focusing on sales promotion. This is our lively sales promotion. So after COVID, it is much easier for us to do activities in terms of sales. So I think that's one reason. I hope I answered to your question. 
Operator: Next to San Freelance writer. 
Unknown Analyst: Two questions. First, competitors launched new price plans in the quarter, I wonder if that could have any impact on SoftBank. Second question, roaming for emergency. The government decided not to pay a burden. In regards to the price plan by the competitors? 
Junichi Miyakawa: We are in good shape. I don't think that, that drastically changed competitive environment. In fact, net adds, we believe that we can reach the same level as last year. So I don't expect any impact from the new price plans by the competitors. For roaming, I don't remember, I said that I play the price of full roaming. But nonetheless there are different ways to deliver that kind of services for warming or dual SIM, et cetera. 
 Since Japanese customers are often heavily impacted by disasters like typhoon. In fact, due to the recent Taphoon, our sites were affected. 25% of our sites, in fact, were affected. So if the sites are not running for a long time, maybe applying roaming between competitors might be a good idea. Roaming in the case of disaster, Yes, I think it's right for carriers to pay the price. But roaming in weak coverage area than different approach may be needed. So it's just case by case when it comes to roaming between operators. In any case, we should be better prepared for disasters and outage. There are a lot of risks that we need to be prepared for. So we will continue discussing with the government. Thank you. 
Operator: And the next -- the left side and blue long shirt. Please provide your name and your affiliate. Thank you. 
Unknown Analyst: My name is [ Nemoto ] from Sankei Newspaper. I have a question about generative AI. You've just mentioned about the status of the development. As for the enterprise services, when are you planning to provide services for enterprise customers, if not planned yet and by way, you would like to start providing it? That's one first question. And the next is about LINE. LINE has been developing hyperclover and related generative AI. So do you have any plans to provide generative AI LINE? 
Junichi Miyakawa: As for the service offering timing, depending on what Microsoft copilot, we go along with the Microsoft schedule. And once we receive green wide from Microsoft, we would like to start providing the service. So introductory kit for generative AI has been provided to our customers for 2 months now and to introduce our different customers how to use generative AI, and we are selling induction generative AI kit. So not only Microsoft but we are planning to handle Google products. So we would like to consider positively, and our own generative AI, the timing would be for the next full year, it will be a preparatory term, and Highpark, Clover X and hyper-global of LINE, I think we'll be deploying it in many different ways. So within our group, and who doesn't, it's not something that we should judge. So this is something will be organized and handled within line. 
Operator: Next question, please [ Masuno ] from Nomura Securities. 
Unknown Analyst: Two questions. First, you talked about beyond 3-year midterm plan, so the next 4 years after 3-year business plan, so Super chip is very expensive. You bought Super chip, and it's natural to build your own servers. And maybe utilizing it for 5G VRAN and using it with a shared server could generate some benefits? Is my understanding correct? If you place your own server in the data center, maybe the data center cannot be fully utilized with the own server alone. So U.S. server and shared servers may need to be located for VRAN and other. So my question is, what's your plan for design in data center? 
Junichi Miyakawa: We often talk about next-generation social infrastructure. CarBrain, regional brain, we have a strategy to deploy next-generation infrastructure, and we have 3 radios, core brand, regional brain and MIC. Matinas was talking about the data center and the data center for the purpose of our training is related to the core brain of the existing data centers, we are building the capability in the existing data centers for our training purposes. And we got off the start earlier than planned, Again, when you talk about next-generation social infrastructure, we need to select facilities in land and network topology. 
 We are working on that so that we can start deploying next-generation social instructure in 4 years' time. And talking about Iran, which should be located in the MIC because you want to have GPU at edge computing. In order to optimize site cell site Other than area that run sites. There are some spare capacity for memory. So data center for training. So other than the data centers for training purpose, inference servers should have a MIC function. So again, purposes will be different. In any case next generation social infrastructure that we are pursuing is in 4 years or so, we want to focus on preparing for that deployment. 
Unknown Analyst: The second question. LINE, Yahoo! made a financial result announcement yesterday and talking about your own whole group, SoftBank Group. SoftBank will become social infrastructure, while LINE in PayPay should work on providing services and products. So is the direction for SoftBank is correct. SoftBank plays a role in social infrastructure. When it comes to service and product offerings, LINE, Yahoo! -- and PayPay will play key roles. Is that kind of design of the SoftBank Group as a whole? 
Junichi Miyakawa: Yes, that's a direction in general that we are looking at. But for example, we have a service offering called Help, which is 100% subsidiary of SoftBank. And this is for health care provider and some people may say that it doesn't make sense. SoftBank has that subsidiary, which is not true because there are different servicing products to be launched. But from SoftBanks prospect. We want to, again, build a social infrastructure to accelerate and help accelerating this transformation. That should be the core role that SoftBank should play. And group companies like Line in Yahoo! and other subsidiaries and also service and products are delivered by consumer business. So again, SoftBank as a carrier I want to make sure that group companies feel comfortable launching services. 
Operator: In the same and the blue half-sleeve shirt gentlemen, please provide your name and your affiliate. 
Unknown Analyst: I am [ Ono ] from Yomiuri Newspaper. I would like to ask about other carrier, but NTL shares to be sold by the government. So some limitations, whether in the entity. And I think there are a lot of discussions to be considered. So if so, the entire competition among the carriers would change. So please provide as your thought. 
Junichi Miyakawa: So I would like to tell you my candid opinion about this. As for NTT reorganization that was the first and now the complete privatization, and this is coming one after another. There are a lot of different opinions or so to run this. But first, the discussion between the government and NTT needs to be monitored. This is what I think. First and regarding fair competition point of view, the presence of NTT is being organized. That's what I am aware of. So -- but I'd like to pay attention to this movement so that only the regulations going to be eased towards NTT. So I'd like to pay high attention to it. 
Operator: Next question. 
Unknown Analyst: My name is [ Ishikawa ] Freelance writer. Impact from MNP one-stop system, so-called one system, one-stop system or one-click system. So how do you react to competitors move. And do you have any view on what we call the most powerful plan by changing roaming agreement? The first question about so-called one-stop system. 
Junichi Miyakawa: For number portability, again, number portability, like I said earlier, it's positive for us. So I don't think any problem for us when it comes to one click by Rakuten. So the question is whether you should check ID or not. From a prevention of the current perspective, we believe that it's important to verify user ID. And I don't think data is suitable for skipping ID verification. Because with application, you can still use the voice service. So maybe laws and regulation may need to be reviewed if such one-click contract signage is allowed. So maybe we should suggest the government to take a second look at laws and regulation. 
 Next about Rakuten so-called Cycle plan or the most powerful plan, I don't think for now, it should have any significant impact to us. But we should not confuse customers. So I believe that our team in the field have close communication with the government. Any carrier can name their own price plan in any way. But again, the most powerful plan of Rakuten, well it's very provocative, if I may say. 
Operator: Any other questions? We would like to take a few more questions from the floor, but those who participate online. [Operator Instructions] The very first in a white shirt, please provide your name and affiliate. 
Unknown Analyst: Detailed questions about the number of device. I think it has decreased. And in the earnings presentation by KDDI, they mentioned that there is the impact due to the exchange rate. And so on so what do you think about the about this change, the fluctuating of this device shipping volume? And what do you think of the causes? 
Junichi Miyakawa: Well, since 5G, there are some regulations related to incentives, the environment, I think I regret that this environment is actually difficult for 5G to be penetrated and the Japanese yen is weakened. And the device purchase price has risen drastically. And we are providing installment payment system and so on, but we need to come up together to provide better options to penetrate 5G more. So CFO Fujihara. 
Kazuhiko Fujihara: So I would like to separate consumer and enterprise. In terms of consumer, it declined just slightly, but acquisition is doing really well. So we have new customers. And so the balance is as well. And enterprise, I think it's just a one-time impact. So not much impact. 
Unknown Analyst: I have additional question related to the first question. Recently, inflation and the higher pricing of different commodities. So some companies talking about raising price, but when there is a drastic change in pricing. So I think it has to be more flexible in terms of setting the pricing limit. So I would like to hear about your opinion. 
Junichi Miyakawa: Yes, there are devices at JPY 200,000 or much less expensive ones. And then we have different purchasing prices as well. So in Japan, iPhones are very strong. So if we only talk about iPhone's point of view, then as you said that the raising up to 40,000 like 4x, I think it's a decent standard, but we also have to make sure to prevent reselling even though we think that JPY 40,000 is a decent standard. But most importantly, 5G penetration is something that we really have to focus on. And we are way behind. So I would be so much happier if things are like before. 
Operator: Next question. Sugiyama from Nikkei Business. 
Unknown Analyst: First, about MNP. Maybe the market is not fluid because of very expensive terminals maybe. But I think you said that you are enjoying net gain from competitors. So what kind of users are coming to you? And for what reasons do you think from competitors? 
Junichi Miyakawa: Again, talking about MNP, yes, it has positive impact to us. Every month, we get net gain customers from our competitors. And the reasons why they selected us, not theirs, where they left competes, Well because in retail shop, the sales clerks were very aggressive or some people say openly. And well, over the Internet, they selected us on their own, but joking aside, I believe that our quality is one of the good reasons why they selected us, not other carriers. 
Unknown Analyst: Second question, data center usage is high, especially in big cities. That's why I think you want to distribute data centers. Internet interconnect is concentrated in big cities. So demand gets concentrated in big cities. That's the reality. So what kind of challenges when you plan and implement a more diversified data centers across Japan? 
Junichi Miyakawa: Distributor data center that we are talking about, like you said taking Kanto area Chiba and is in Western region, data centers are concentrated in those places. From an economical perspective, maybe it was easy to hire people labor cost was cheaper and distance from the seashore to the land may be favorable in those areas. But the core issue is energy in Japan, when it comes to volume that keeps growing, data volume and electricity required are growing in parallel and the telecom industry and application companies, it's still in the growth phase in terms of data volume. So again, data volume keeps growing, and growing. And if data centers only located in Tokyo and Osaka, people in Tokyo Osaka may suffer from shortage of power shortage of electricity. 
 That was one of the biggest challenges or issues that we found. So we want to make sure that we locate data centers where electricity or power resources available. From economical perspective, you may want to concentrate data centers in certain areas, but maybe we need to change our mindset. And our landing stations concentrated in certain cities. Maybe we need more landing stations like a cush or were that helps us to structurally diversify our resources. So we are studying whether we can have a landing station in those areas from submarine cables perspective. So we want to get prepared in 3, 4 years, including sourcing materials. 
Operator: Due to the time constraints, we would like to take this question as the last from the floor, the middle row in white long shirt. 
Unknown Analyst: I am [ Ray ] from the Diamond company. About 700-megahertz platinum band allocation of that, I would like to question about, so MIC has approved. And now the policy has been approved. And when I look at the criteria and Duract has advantages, I think, but area deployment and the spectrum economic value Rakuten may have an opportunity to win over. But what do you think about that? And for SoftBank platinum and allocation, I think this is the last 1 and 3 mega health bandwidth, and we would like to hear what you are thinking about in terms of 3 mega health bandwidth. 
Junichi Miyakawa: When I look at ultimate method I think we have the lower possibility of acquiring it. But this is what Rakuten was longing for a long time at Earnest wish. So I think Rakuten will be taking. And if that happens at that time, I would like to say congratulations to Rakuten, I would like to step back. But whether we apply for it or not, we are considering, but the possibility seems pretty low. But I just want to say a word as a senior in terms of this platinum band the local area cover disparated is very useful and effective. 
 So I believe that this is going to be set thoroughly nationwide, but the efficient use for spectrum. We do have responsibility as telecommunications carrier. So I strongly believe and we would like to expect that they would also make sure to pursue their responsibilities. I hope I've answered to your question. 
Operator: That was the last question from the venue. Now we'd like to take questions from participants over the Zoom. First, Kikuchi-san from SMBC Nikko Securities. 
Unknown Analyst: I have 2 questions actually. First, maybe related to [indiscernible] question SoftBank for infrastructure and servicing products LINE and Yahoo!, you mentioned those roles. But when it comes to infrastructure, maybe it's not easy for you to make profit to just deliver infrastructure. And you may want to add the value of mobiles by delivering AI services on top of mobile. And SoftBank stand-alone profit you want to pursue there are a lot of consolidated companies in Japan. But when it comes to SoftBank, it looks like a virtual consolidation. So you may want to have profit standalone or you may need to review the structure of the group, SoftBank Group because SoftBank share price. When it comes to SoftBank share price, they are interested in SoftBank stand-alone earnings unless SoftBank contribute to SoftBank stand-alone profit you can't really increase the value of shares. 
Junichi Miyakawa: So I'd like to have a private conversation with Kikuchi-san actually. It's difficult for me to speak publicly about the subject. I mentioned earlier that we want to be a platform for our group companies. Well, for infrastructure, SoftBank wants to utilize the infrastructure as well as our group companies. So we are not going to provide infrastructure alone. It's not what I meant, whether smartphones or something beyond smartphones or something like Vision Pro, -- everything would need AI in the future. SoftBank develops and deliver such AI engine, if you will, is something that we should do. That's why we decided to invest in developing our own AI and AI on top of mobile for consumer business, yes, we consider that. And for enterprise business, which is playing a key role for corporate customers, we want to deliver services together with AI. Definitely, we want to do that as a SoftBank. 
 And with regards to SoftBank Group structure, we are open to any possibility what structure or what group structure should be, the automated status. Of course, we want to look back the history of SoftBank, and we are where we are because of the history. So we want to understand why and how we come to this structure, and we'll figure out what would be the best SoftBank group structure going forward. I hope that you will go to the best possible outcome. Second question. Free cash flow -- operating cash flow for the first half, it was a negative. And -- but for the whole year, you may want to achieve a positive cash flow, but I am concerned in the midterm business plan. 
 So on a lease cash flow is on track plan, you can keep the dividend. But even though free cash flow goes negative, should -- can you still keep the dividend and type shares, if it's successful this year or last year, excuse me. Would you like to utilize such instrument every year in order to compensate cash flow. I don't know if you have a specific plan or not I think that Fujiwara may want to comment on that, but JPY 600 billion worth free cash flow, we believe we can achieve that goal and dividend -- we said we will provide dividend because we are confident, and we want to do that this year, JPY 420 billion of class share issuance. Like I said earlier, the fund will be utilized for investment for our future growth. So it's separate from JPY 600 billion of free cash flow. For Charan Yes, investment cash flow, operating cash flow compared to last year, yes, we were lower. But because of the tax timing, it was a onetime effect for operating cash flow and for investment cash flow, more than last year because we increased CapEx last year, but we plan to reduce CapEx this year. 
 So we believe that our investment cash flow, our goal can be achieved. For class shares, this is the first in kind in Japan. So we want to make sure that we issue with good terms and conditions in the market. And if it's successful, we will decide how to utilize such instrument going forward. 
Operator: Due to the time constraints. The next question will be the last question. We would like to take Citigroup Securities. 
Unknown Analyst: I am from Citigroup Securities. 2 questions. One is about derotibAI. It's been 3 months, and you've mentioned something new. Yes, LINE and Yahoo!, search engine and contract renewal is coming in 2025. And as for SoftBank Kane as a whole. So the last piece remaining this piece, what we are trying to do with this and yesterday there are presentation by CFO and about search engine, they mentioned about Bing and ChatGPT are something that to be considered as well. So we would like to hear your thought around that, which search engine to be used. 
Junichi Miyakawa: I think there are some alternatives, one to continue with Google or to switch to being or the major shareholders' neighbors may engine to be used. So these 3 could be alternatives. So that's what we heard whether to switch or continue has not been determined yet. So as a parent company, we would like to pay attention to their move. 
Unknown Analyst: The second question about PayPay PayPay's growth and profit, the balance between these 2 EBITDA turnaround and the growth will be accelerating I think -- do you think this is much faster than your expectation? And if so, then at the time of IPO is coming closer. Is this how I should understand? Please provide your answer as much as possible. 
Junichi Miyakawa: As you've mentioned, the balance between profit and revenue is very important for us and we still have room to grow. However, we cannot bear with that is negative figures so long. We have been growing steadily so far. Whether this timing was a way faster or slower. I think this was the right pace. So regarding the IPO, I cannot make any comments. So once PayPay's announcement is made, I would like you to pay attention to their another announcement. Thank you. 
Operator: That concludes question-and-answer session. Thank you very much for your questions. So that's all for earnings results for the 3 months ended June 30, 2023 of SoftBank -- this will be available on demand later. And once again, thank you very much for sharing the time with us for our earnings results announcement for the 3 months ended June 30, 23.
 [Statements in English on this transcript were spoken by an interpreter present on the live call.]